Deb Wasser: Hi, everyone, and welcome to Etsy's Fourth Quarter and Full Year 2020 Earnings Conference Call. I'm Deb Wasser, VP of Investor Relations. Joining me today are Josh Silverman, CEO; Rachel Glaser, CFO; and Gabe Ratcliff, our Director of Investor Relations. Today's prepared remarks have been prerecorded. The slide deck has also been posted to our website for your reference. Once we are finished with Josh and Rachel's presentations, we will transition to a live video webcast Q&A session. Question can be submitted by the Q&A window chat displayed on your screen. Feel free to use it at any time, as it will remain open throughout the entire conference call. I'll be reading your questions and Gabe will help me try to get to as many as we can. Please keep in mind that our remarks today include forward-looking statements related to our future performance, including our financial guidance and key drivers thereof, the impact of COVID-19 on our communities business and strategy and the potential impact of our marketing and product initiatives. Words such as anticipate, continue, expect and will, as well as similar expressions are intended to identify forward-looking statements. Our actual results may differ materially from these forward-looking statements. Forward-looking statements involve risks and uncertainties, some of which are mentioned in today's earnings release and which are more fully described in our quarterly report filed with the SEC on October 29, 2020, and in subsequent reports that we file with the SEC. Any forward-looking statements that we make on this call are based on our beliefs and assumptions today and we undertake no obligation to update them. Also during the call, we'll present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release, which you can find on our IR website, along with a replay of this call. With that, I'll turn it over to Josh. 
Josh Silverman: Thanks a lot, Deb, and hello and welcome, everyone. 2020 was, no doubt, a transformative year for Etsy, a time when circumstance met preparedness, highlighting the agility of our model, the dynamism of our team and the power of our differentiated strategy. Etsy emerges transformed a larger and stronger marketplace as a result. We understand that the stakes are high. Millions count on us now more so than ever and I'm proud of our impact. We help to create economic opportunity for our sellers and led from the front on many important social issues. As a marketplace that gets better as it gets bigger, we believe that Etsy is now even better positioned to lead into the future. When we look at our 2020 results, they were spectacular. Consolidated GMS was $10.3 billion, up 106% on a currency-neutral basis. Consolidated revenue was $1.7 billion, up 111% with an EBITDA margin of approximately 32%. Said differently, we roughly achieved our 2023 aspirations in 2020. Rachel will provide more insights on Q4 in just a moment. But we're proud of our inclusion in the S&P 500 as yet another signal of the importance that the Etsy marketplace is playing in the global economy. And, in fact, speaking of the global economy, 2020 was an extraordinary year for e-commerce overall, as the growth rate of e-commerce roughly doubled, as much of the offline world shutdown. And as fast as e-commerce grew, Etsy grew much, much faster. In fact, Etsy grew almost 2.5 times as fast as e-commerce. We had to change the y-axis of the graph just to accommodate it. Etsy is gaining meaningful share versus e-commerce, because where the world is racing to offer the same thing priced maybe a little cheaper or shipping just a little faster, Etsy offers something truly unique, something truly special. And we're now seeing the power of that difference. That growth helped Etsy to become one of the most visited e-commerce sites in the United States. In fact, we were the fourth largest retail e-commerce site by monthly visits and we've become one of the most recognized e-commerce brands in the United States. People suddenly mention Etsy in the same breath as much larger retailers like Walmart or Target or eBay. And it's not just in the U.S. In fact, in the fourth quarter, international accounted for over 40% of all of the GMS on Etsy. I'd like to take a moment to talk about the United Kingdom, which had a truly breakout year in 2020, with a growth rate of 189% year-over-year. As fast as Etsy grew, Etsy UK grew much, much faster. And Germany, our second largest e-commerce market, also more than doubled in 2020. What I'm most pleased about is the percentage of e-commerce on both of those sites that's local, that's domestic where both the buyer and the seller are located in the UK or in Germany, respectively. In the UK, now more than 70% of trade is local. That means for people in the UK, Etsy is very much a domestic platform where there's a sufficient vibrancy of both supply and demand for people to be able to come there for everyday needs. And we're seeing that in Germany and I think that really speaks well to the power of our international opportunity overall. Why? Well, one important reason is the ability of the Etsy marketplace to meet rapidly evolving buyer needs. 2020 search trends highlight the dynamism of our marketplace. For example, in March when the offline world largely shutdown, demand for essentials on Etsy exploded. And our sellers almost instantaneously rose to meet those needs. And as trends evolve throughout the year from nesting and home office to home furnishings to outdoor events and reimagined events, things like virtual graduation ceremonies or lawn celebrations, our sellers were there to create and to deliver. In fact, if you can imagine it, it's very possible that people came to Etsy to make it and to buy it. All of this resulted in dramatic growth across all of our buyer segments. Etsy added twice as many new buyers in 2020 as they did in 2019. In fact, there were many weeks in 2020 where Etsy added more than 1 million new buyers per week and we reactivated 22 million lapsed buyers. These are buyers who hadn't shopped in Etsy in at least a year. And they've come back to Etsy in 2020 at a time when they really needed us most to find that Etsy is better in so many ways than the last version of Etsy that they might have visited possibly years ago. I'm particularly excited about the growth of habitual buyers. Habitual buyers were yet again our fastest-growing segment in the fourth quarter. And habitual buyers grew 157% year-over-year. 2020 was also a year when we grew the pie for many of our sellers. In fact, many of our sellers had their best year ever in 2020. GMS per seller was up 22%, while we simultaneously grew active sellers by 64%. We, of course, work hard to support our sellers by driving more sales. We also work hard to support our sellers in many other ways. For example, as governments in the United States and Europe drafted legislation to support our economy, Etsy was a very vocal advocate making sure that governments remember that independent workers, people like sellers on Etsy also matter and that we need to design our legislation and our economic reform with them in mind. Speaking of working hard, I'm incredibly proud of our team and how well they transitioned under very trying circumstances. At a time when they suddenly need to work entirely remote and face all of the stresses that everyone is facing in the external environment, our team rose to the challenge and were more productive than ever. As one example, experiment velocity grew 16% year-over-year, while we simultaneously had higher hit rate than we did in the prior year. What that means is that each team was working hard and making a lot of progress, making the product experience on Etsy even better. In addition to that, site traffic was up very substantially. And what that means is that the productivity of every team is automatically higher. The ROI of every squad is higher. We continue to make investments aligned with our right to win that we believe are making the product experience at Etsy materially better. For example, we've talked a lot about the importance of search and discovery on Etsy. And here we show some examples of how the search experience continues to get better and better. Our initial investments in dynamic ranking and semantic gap have laid the foundation for personalized search, which is making it easier for buyers to find what they're looking for and to be inspired from among our over 85 million items. Buyers are now scrolling through fewer listings, which is making search less overwhelming and more rewarding. And, of course, it's about so much more than just search. We continue to make investments to improve the product experience in many, many ways. Two examples in the fourth quarter were the launch of installment payments and the ability to filter searches around expected delivery dates. So you can see just items that are going to arrive within your timeframe. And just as our product experience improved, so has our brand awareness. We made significant strides in marketing in 2020 expanding the visibility of our brand globally. Our brand team launched five different creative campaigns in the U.S., the U.K. and Germany with a record number of impressions and share of voice to cut through. And we expanded our performance marketing and our CRM campaigns very materially equipping our teams with more resources and better tools within our Martech stack and turbocharging the success of our performance marketing campaigns through our Offsite Ads program. Our top of mind awareness has grown and we have so much room yet to grow it further. I also want to take a minute to highlight some of the critical infrastructure investments we make that maybe aren't as obvious to the outside world, but are so important to our success as a business. For example I'd like to give a shout out to our member services and trust and safety teams. In early spring demand on Etsy suddenly instantaneously and unexpectedly more than doubled. And of course that created a dramatic increase in customer support and trust and safety tickets. And our team rose to that challenge and delivered against the very high levels of customer satisfaction that our customers expect and deserve. That's only possible because of the tooling and the infrastructure and the capabilities that we have built as a team over the past several years. And in addition to providing high-quality customer support we work very hard to make customer support at Etsy ever more human. In fact in the fourth quarter of 2020, 73% of customer contacts were handled real time meaning they're voice or chat which is quite a dramatic change from where we were just two years ago. Two years ago we described to all of you our long-term right to win strategy which propelled our growth in 2020 and is more relevant than ever. We're building upon that momentum to deepen and strengthen in each of the four areas that make up our right to win. We didn't pivot to meet the demands of 2020. Rather we doubled down on this strategy which has allowed us to meet the demands in 2020 and we believe will continue to strengthen our business for years to come. We have a deep passion for the Etsy community specifically our buyers and sellers who come to Etsy to express themselves or to turn their creative passion into a business. We believe that the opportunity is large. The shift in customer behavior has brought more sales online and we know that for almost every purchase occasion, we have something delightful on Etsy to offer. In 2021 our focus areas will be centered around things that continue to differentiate the Etsy experience from all of the other players in e-commerce. In search and discovery, our big tracks of work involve making it easier to find just the right thing even when you don't have the right words to describe it and helping to surprise and inspire people being a place where buyers can come and browse lean back and find inspiration. Personalization is a very important focus helping people to find things they didn't even ask for, but know it when they see it. And we've barely begun to unpack the opportunity in personalization. We'll lean into this in superhuman ways combining the latest of AI with human curation leveraging the power of our community and our team to help curate items and use those to train models to become ever more personalized. We want to leverage the distinct power of our growing community to help make Etsy less overwhelming and made just for you. And we'll do all of this in ways that make Etsy even more human. For example leveraging video. Unlike most products every item on Etsy comes with a story. Every seller has his or her own story. And video is a powerful way to tell those stories. Plus we can show buyers how the items look, how they feel even how they sound. This is a great example of how we have so much more runway to more richly connect buyers and sellers. And once you find just the right item, you need the confidence to be willing to buy it. In 2021 we're going to be very focused on the post-purchase experience, being transparent about when you can expect an item to arrive, being purposeful about when to communicate that in the purchase journey. Making sure our sellers have all the right information that they need to meet the deadlines and letting buyers know that we have their back in case anything goes wrong. As we work to become a habit for buyers, it becomes even more important that they trust us and see Etsy as reliable. We'll have so much more to tell you about our product roadmap as we progress throughout the year, but we couldn't be more excited about what's on deck for 2021. And I'd like to take just a minute to talk about Reverb another example of the beauty of a two-sided marketplace, especially when combined with strong execution in product and marketing. Reverb also had a fantastic 2020 growing faster than their market. And the company recently laid out their rights to win, their long-term strategy with key differentiators which mirror Etsy's own and show just how much opportunity there is to grow the Reverb platform. I also want to highlight our virtuous cycle and the progress that we've made in our economic, social and ecological pillars to benefit all of our stakeholders. Etsy has always believed that being a good citizen, makes us an even stronger and more resilient business. And 2020 demonstrated that people are looking to shop their values. They're looking to put their money where their heart is. And they hold businesses to a higher standard. Since announcing our impact strategy in 2017, we've continued to evolve and update our goals. We're incredibly proud of the progress we've made in this past year. But we're not resting on our laurels. We're setting some aggressive new targets for 2021 and beyond creating a more diverse, equitable and sustainable marketplace and supply chain to expand our economic impact. Etsy's economic output is now similar to the city of Houston. We're continuing to build on our diverse and inclusive workforce at Etsy and at Reverb. I'm proud of the fact that for example, we doubled the percentage of our leadership team that are, underrepresented minorities. And, we sourced 100% of our electricity from renewables. We've set a new goal which is to be net zero emissions by 2030. Most importantly, you'll be able to read more about in our soon-to-be-filed integrated annual report, where we're now using both the SASB and the TCFD frameworks to help you better track all of our strategies and progress. As we look forward over many years we continue to believe that e-commerce is consolidating around fewer and fewer scaled e-commerce platforms. And we believe that Etsy is better positioned than ever, to be one of those few, scaled platforms, a brand which rises above the rest, by standing for something truly unique and different, standing for the individual creators and for keeping commerce human. I believe, Etsy can and should be a massive force in the world. The world has taken notice. And we have strong conviction that our opportunity is bigger than ever. I'd like to close by thanking our team once again for their passion, their creativity and their conviction. And now I'll turn it over to Rachel.
Rachel Glaser: Thanks, Josh and thank you everyone for joining us for our Q4 earnings call. My commentary today will cover consolidated results key drivers of performance. And Etsy's stand-alone results where appropriate. On a consolidated basis, Etsy's fourth quarter GMS grew 118% to $3.6 billion. Revenue grew 129% to $617 million. And we delivered adjusted EBITDA of nearly $192 million capping off a strong year where we achieved industry-leading growth and record profitability. Etsy's stand-alone Q4 GMS grew 127% to $3.4 billion. Our disciplined investment strategy and strong execution drove more adjusted EBITDA in the fourth quarter than in all of 2019. Top line growth exceeded our Q4 guidance which had projected a steeper decelerating GMS trend due primarily to two factors. First, masks contracting as a percent of overall GMS. And second, the uncertainty of consumer spending patterns and global economies related to the pandemic. As Josh mentioned earlier, international growth was robust in 2020. In Q4, consolidated international GMS expanded 500 basis points sequentially to 40% of overall GMS. International GMS was up 140% on a constant currency basis and was driven in part by strong trends in the U.K. and Germany. Our fastest growing trade route in the fourth quarter was once again our domestic sales between buyers and sellers within the same country. It's also worth noting that we are disclosing U.K. revenue, which is based on the location of the seller for the first time as it was more than 10% for 2020 at $196 million. We're adding India as a core market, bringing our total focus markets to seven, given heightened investments we've been making to build the foundation of incredible inventory from creative entrepreneurs in that country. Etsy had an exceptional holiday as the shopping season started earlier and growth rates exceeded prior years providing a meaningful tailwind in the quarter, setting some exciting records as shown on this slide. We told you on our last call, how we would be investing heavily in product and marketing to make Etsy, a wonderful holiday shopping destination and these investments really paid off. Etsy's peak holiday shopping day was Small Business Saturday. Growth was up 150% year-over-year and we generated over $50,000 in GMS per minute. This is especially important as it gives them more than four million small businesses on our platform relevance and a voice during this important time in retail. We also continue to see growth in our top six categories with homewares and home furnishings our largest and fastest growing category, growing 226% during the five days of Thanksgiving to Cyber Monday. All of the work we've done to keep Etsy top of mind and ensure we could handle the surge in activity enabled us to deliver great results. Not only did our holiday season start earlier, we also peaked higher and sustained strengths longer than in prior holiday periods. We saw continued strong growth across many of our categories to end 2020 especially in our top six, which for all of 2020 represented over 80% of Etsy GMS growing 85% year-over-year. You can see the full year category growth on this slide. Globally, Etsy's growth is distributed in over 50 different retail categories. Outside of the top six categories full year growth was 115%, excluding mask sales powered by segments such as toys and games and pet supplies. As expected, mask sales continued to contract as a percent of overall GMS to 4% in Q4, down from 11% in Q3 and 14% in Q2, a trend which we expect to continue. Following the steady trend of 93% year-over-year growth in Q2 and Q3, non-mask GMS growth accelerated sequentially to 118% in Q4. In addition, we're seeing very healthy underlying trends from mask buyers. Of the three million mask-only buyers in Q3, approximately 50% returned in Q4 for a non-mask purchase. This is up 12 percentage points compared to Q3, a great signal but we are retaining and converting buyers who are coming to Etsy for some of their essential purchases. Consolidated Q4 revenue was driven by growth in both marketplace and services revenue in particular key drivers for GMS volume, Etsy Payments, Etsy Ads and Offsite Ads revenue. Etsy Ads, Offsite Ads and our expanded Etsy Payments platform combined helped to sustain take rate at 17.1% in Q4, a quarter where historically take rates contract due to seasonality. We continue to make strides in bolstering our advertising products and initiatives to help sellers drive velocity in the marketplace and take control of their success. On a consolidated basis, onsite Etsy Ads and Reverb's bump offering grew 74% year-over-year with both marketplaces improving our ad platforms and enhance the functionality and user experience for sellers and show more relevant ads to buyers. Etsy's Offsite Ads continue to yield encouraging returns with opt-out rates remaining less than 2%. We're optimizing return and channel mix for our sellers' listings, now incorporating buyer segment information in the signals we send to our ad partners, including differentiated LTVs to drive efficiency. In the second half of 2020, 9% of Etsy's stand-alone GMS earned an Offsite Ads fee. This effective increase in take rate enabled us to invest more on behalf of our sellers, while maintaining our ROI threshold. From a seller's perspective, the return on ad spend is in the range of six times to eight times on the high end for any ad product. And this is a risk-free investment since the seller only pays the fee when she makes a sale. Gross margin was 76%, up 920 basis points compared to last year and continue to benefit from our shift to Offsite Ads which delivers incremental revenue without an equal offset in cost of revenue. And to a lesser extent, the change to Reverb's transaction fee also expanded gross margin in Q4 since this was the first full quarter of consolidated P&L benefit. We're scaling our investments in two ways, both in marketing and product development. On this slide we've shown you marketing as a percentage of GMS versus buyer growth to illustrate how we scaled marketing to drive returns. As you know, we've been leaning in more heavily to upper-funnel channels in particular and these investments are having the desired impact. For example in the fourth quarter, we saw year-over-year improvements in prompted and unprompted awareness and positive gains in several key brand metrics. We also track monthly movement in brand familiarity emotional closeness relevance and everydayness and are seeing strong progress here as well. I want to highlight some specifics around our Q4 TV investments. As mentioned last quarter, we ran two separate TV campaigns during the holiday period, one aimed to drive purchases and another designed to build brand affinity and deepen the emotional connection to Etsy. Both campaigns in addition to various other efforts in media and PR earned Etsy's marketing team as one of Ad Age's Marketers of the Year, alongside some of the world's most well-known brands. Overall, both campaigns outperformed our expectations, driving visits and conversion rate and ultimately incremental GMS, despite an increase in CPMs as many retailers stepped up spend to close the year. Q4 consolidated marketing spend was $211 million, up 151% year-over-year. Brand marketing spend, which includes television and digital video was 23% of our consolidated marketing spend in Q4 and 24% in Q4 last year versus 18% in Q3. This represents approximately $49 million of the spend in the fourth quarter. In our performance marketing channels we've rapidly scaled our spend as a result of Offsite Ads. Performance marketing spend was $147 million, up 193% year-over-year and up 65% compared to last quarter. We're also hard at work improving our owned channels, building out use cases for our new CRM tools such as personalized e-mails or targeted push notifications. We're investing to drive efficiencies in each and every channel across the funnel to bring in new buyers and drive frequency. The other lever for improvement in GMS is our investment in product development which you can see illustrated on this slide. This spend drives higher conversion rate from new and repeat buyers and increased frequency. The impact of this investment is evident both in our GMS growth, our experiment velocity and accelerated hiring with a larger product development investment as seen on our P&L. We ended the year with 1,414 employees an increase of 14% compared to last year. As Josh mentioned earlier we're getting twice the leverage from our product teams with an ambitious investment road map. Moving to our operating metrics. We are really pleased with the continued increases in new buyers and reactivation of our large base of existing buyers. For example, in the fourth quarter, active buyers grew 77% year-over-year to approximately $81 million for the Etsy Marketplace and a 92% increase in new and reactivated buyers. GMS per active buyer on a trailing 12-month basis grew 13% year-over-year, driven in part by habitual buyers which grew over 157% in Q4. This is up from 100% growth in the third quarter, the third quarter of sequential acceleration in this valuable segment. Also, 11% of repeat buyers in Q3 became habitual buyers in Q4 and we now have 6.5 million habitual buyers. In addition to our habitual buyers, many of our other buyer segments exhibited tremendous growth. For example, repeat buyers those who made purchases on two or more days in a 12-month period grew 97% to $32 million, approximately 20 percentage points faster than overall active buyers and a sequential acceleration compared to last quarter. 2020 was an unprecedented year as all of our buyer cohorts inflected higher during the period. Slide 35 shows 2020 GMS per buyer and the year-over-year growth from each of our last five cohorts. We're pleased to see that our older cohorts, such as the 2015 cohort who have been on the platform for five years, generated the highest GMS per buyer and grew as fast as our more recent cohorts. For our newer cohorts in 2020, we've seen a meaningful improvement in their purchase behavior. Approximately 22% of new buyers in 2020 became repeat buyers within 60 days of their first purchase, up from 16% in 2019. These data points are indicative that the underlying trends in our marketplace continue to improve. Moving to the balance sheet. As of 12/31, we had $1.7 billion in cash, cash equivalents and short-term investments, in addition to a $200 million revolver that is currently undrawn. In Q4, we repurchased $78 million of our stock or 618,841 shares at an average price of $125 per share. We've now completed the November 2018 buyback program repurchasing approximately $200 million of stock or roughly 3 million shares at an average price of $64.80. Our Board of Directors recently authorized a new $250 million stock repurchase program. And turning to our outlook. While it is our normal practice to provide annual guidance as a basic framework for our business, given the continued uncertainties facing Etsy, e-commerce at large and global macroeconomic conditions that impact consumer spending, we are only providing guidance for Q1 at this time. We currently estimate Q1 consolidated GMS to be approximately $3 billion, up about 115% to 125% compared to Q1 of last year; revenue of $513 million to $536 million, up 125% to 135% versus last year; and adjusted EBITDA of $168 million to $178 million with a margin in the range of 32% to 34%. In giving this outlook for Q1, we have the benefit of nearly two months of the quarter already in the books. January was very strong but it was clear to us it was helped in part by a tailwind from stimulus checks. We want to call this out as we do not currently expect to have the same tailwind in Q2 and in fact can already see that February relative to January is less strong without that boost from stimulus. Furthermore, the recent weather events in the South and the Pacific Northwest had a very clear impact on our GMS in the past week, another reminder that certain unpredictable macro events beyond our control are apt to create volatility in our performance. As you update your models and think about the cadence of growth for 2021 and beyond, we'd like to remind you of a few things. During the latter part of Q1, Etsy will lap a period of negative growth rates that spanned from mid- to late March 2020. The outlook I just gave for Q1 includes several weeks of comping this low point. Then as you recall, on April 2, 2020, we saw the start of significant unprecedented growth initially catalyzed by demand for face masks. In total, 2020 face masks exceeded $740 million with $346 million in Q2 and $264 million in Q3. While face masks versus non-face masks GMS trends have certainly been encouraging, our expectation is that year-over-year quarterly growth rate comparisons will be challenging when you eliminate the face mask sales from your forward models. In 2020, Etsy growth outpaced the broader e-commerce sector. While we are not giving the full year guidance today, it may be informative to look at third-party data and research on how they are projecting growth for the industry this year. It suggests that for the sector, Q1 2021 growth will be approximately in line with Q4 2020 and that the industry will start to more rapidly decelerate starting in Q2 with the majority of incremental growth for the year realized in the first quarter. It remains our ambition to continue to outgrow e-commerce, propelled by the underlying changes we've seen in the marketplace and the heightened awareness of our differentiated brand. However, we also know, we hope that as the world opens up later this year consumers will soon be able to spend more of their money on travel. dining and entertainment. And this will create some headwind in Etsy's growth relative to 2020.  Last note on the revenue outlook. Historically, there is some favorable seasonality to our first quarter take rate. This year, we also benefit from Offsite Ads additional Etsy Payment geographies and Reverb's higher transaction fee.  As we think about the quarterly cadence of take rate throughout the year, Q1 may represent the high-water mark for 2021 take rate. On expenses two points to keep in mind. First, we want to reiterate that our revenue per headcount is significantly higher than our peers and results in margins that are stronger than we want given the many opportunities we see to invest for growth.  So as you think about expense trends and margin drivers keep in mind that we are investing in talent and accelerating our pace of hiring in 2021 with a particular focus on product and engineering.  Second, we exceed the revenue threshold in many international geographies for collecting and remitting digital sales tax. This obligation will grow as our business continues to expand. We have more conviction than ever to invest in our business for the long-term building top of mind awareness in the hearts and minds of consumers and continuing to gain market share. We're building on our momentum and we expect to continue to capitalize on our large market opportunity.  Thank you for your time today. I will now turn the call over to Deb, so we can take your questions.
A - Deb Wasser: Hi, everyone. Good to see you. We are ready to go. We have a lot of questions in the chat box. So I'll just dive right in. If you have any additional questions, feel free to add them in as well. The first question is from Rick Patel at Needham & Company.
Rick Patel: Can you update us on where you are in the personalization journey? What did you learn in 2020? And what can we look forward to in 2021? At what point will you have enough data and analytics to go beyond search and use personalization as a predictive tool? Josh, I think we should start with you on that one.
Josh Silverman: Great. Thanks for the question. Yes, I mean 2020 is really the first time that Etsy has started to be personalized in a meaningful way. And you're right that we started with search. I think we're in very early innings. And you can think about personalization very narrowly as knowing, for example, how we've started, what things have you searched for in the past, what things have you favorited in the past, what have you bought in the past and using that to inform your search results. But taking the aperture out further having a deeper understanding of what that might imply of your sense of style and understanding things like what style are all of these 80-plus million items, what are other people who bought these also been interested in, what might complete the look of this. It might not be that item at all, but it might be other things that match with that item. These are all areas of personalization where we have not really even begun. And so I think we have a tremendous amount of opportunity still to go. What we have learned, which is not surprising to us or anyone is that, it is actually valuable. Even in our first launches in personalization, it makes the experience better. It makes conversion rate go up. We're very optimistic about what it can do. So if I think about personalization to your point of where else can you go search and discovery, which I would think of as a lean and you type in a query at Etsy and we give you a more personalized set of results is where we've started.  Lean back is another opportunity for personalization. So think what kinds of recommendations can we present to you, what kinds of things can we show you that would inspire you that you didn't even think to ask for, but we happen to know that other people like you are interested. And the other bucket that I think is very exciting is Offsite. When we are marketing to you being on Facebook or Google or elsewhere, the ability to know more about you and be even more personalized in terms of how we reach out to you is an opportunity that I think is large and will continue to get better and better overtime. 
Deb Wasser: Okay. Great. Thanks, Josh. Next one comes from John Colantuoni from Jefferies.
John Colantuoni: GMS growth in the international business has been lagging modestly behind the U.S. until this most recent quarter. What were some of the key drivers of the acceleration in the international business during Q4? And what are some of the key learnings from that success that you can use as part of the broader framework to take advantage of the big opportunity outside of the U.S. in the years to come? Let's start with that and then maybe we can have Rachel chime in a little bit, too.
Josh Silverman: Perfect. Okay, great. One of the wonderful things about a two-sided marketplace like Etsy is that it gets better as it gets bigger. There's a virtuous cycle that's turning. And so the growth in Etsy in our core international markets has been strong in the past, but was truly extraordinary in 2020. And if I look at the UK, in particular, which really had a breakout year; it does feel like that virtuous cycle just turned more and more. So, it appears to us that going from a top 20 e-commerce brand to a top 10 e-commerce brand appears to have a really positive impact on our business and going from top 10 to top five, has a really positive impact in terms of brand awareness in the market. And it makes sense because what's happening is we're bringing vibrancy. We're bringing more sellers with more items, so you can shop domestically more. And we're getting more buyers, which brings more sellers. So, part of what we're learning is what might be mechanisms where we can accelerate that brand awareness. How can we invest? There's a natural growth curve, which we ride, but how can we invest to make that happen even faster? You are seeing us do things like brand marketing in both the UK and in Germany. And as we always do with Etsy, we're very data-driven. We're very experiment-driven. And we're looking at what's that doing to our flywheel on both the demand and the supply side and how can we extrapolate that to think about ways to accelerate our growth even further in international.
Rachel Glaser: I don't have time to add. That was a perfect answer. I'd only add that with our -- we did invest more heavily in both the UK and Germany in the fourth quarter of this year not only in brand, but also in mid-funnel. So, we used – actually, the entire funnel we used a lot of our performance spend and some of that middle piece where we did social and we were able to capture more of the audience specific to those markets with a personalized message for them in those markets.
Josh Silverman: Thanks for mentioning that, Rachel. I'm going to build on that because we've talked about the opportunity in Martech and how our Martech capabilities can continue to get better and better. We weren't using the most up-to-date APIs and data feeds with partners like Google and Facebook in some of our international markets. And so part of what we did in the latter half of 2020 is really update those data feeds, which allowed us to be even more precise in our performance marketing and get better ROI. So, a lot of things came together through 2020 that allowed us to really accelerate growth at a time when it really mattered, but there continues to be a really good pipeline of opportunity for us to get better in Martech for sure.
Deb Wasser: Okay, great. I'm going to move to one from Ed Yruma from KeyBanc.
Ed Yruma: Can you provide a way to dimensionalize how broadly the consumer is shopping the assortment on Etsy? And are new and reactivated consumers shopping multiple categories? That's a little bit of tag team one I think. 
Josh Silverman: I'll start. And I think Rachel has given data and I think she can give some more. But we're really pleased by the fact that we are seeing cross-category purchase. And I think that's really encouraging. What we know is that almost anything you want to buy, you can buy on Etsy. Not consumer electronics. I mean there's a couple of -- not travel. There's a few things categories out there. But for the most part, things you need to buy and use you can find them on Etsy. And our consumers are learning that more and more. One data point that Rachel shared is that 50% of people who were mask-only buyers in the third quarter came back and bought a non-mask item in the fourth quarter, which we think is really encouraging. So, we do like what we see. And honestly, during this time of COVID, people have had fewer options. So, they've turned to Etsy more often and they're generally delighted by what they see in almost every category. They're going to find a really broad assortment of products. They're going to find that they're priced well. And getting something made just for you with a handwritten note is just a better way to shop. 
Rachel Glaser: So, I'll add just a couple of additional data points there. One that I really like is that two or more purchases -- the percentage of buyers that had two or more purchases in 2020 was 48%, that's up from 41% a year ago. And when you look at those -- that category of buyers that have two or more purchases, the average was five purchases. That was the first time we crossed five. So, they're coming back much more frequently. And then we've been - we talked about this last time as well, but the number of buyers that cross - make cross-category purchases was 17% in 2020. So, that's buyers that came four -- four or more purchases across two or more categories. And so we're really seeing people exploring. I love the metric that Josh just threw out there too about the non-mask buyers coming back another time. And that really shows that the new buyers that we've obtained and the ones that we've reactivated are really exploring Etsy and understand the breadth of product that we have.
Deb Wasser: Thanks both of you. This one -- next one I think connects the dots on some of that. It's from Ygal Arounian from Wedbush.
Ygal Arounian: It's a two-part question. Etsy is now one of the few marketplaces growing volume in triple-digits and seeing growth accelerate in Q1. What is Etsy doing differently that is allowing you to keep buyer growth and volume so strong? And then the second piece of the question is really specifically to the different categories. Can you talk about specific category strength? How sustainable do you think the home goods category is for you? What are our expectations for weddings and bridal showers this year which are typically important for you in Q2 to Q3? That's the many pieces. Maybe Josh, you want to start and then -- yes. 
Josh Silverman: Sure. And let me see if I can remember it all. First in terms of what we're doing differently? It's hard for me to say because I have a lot more access to information about what Etsy does than what our competitors do. So I can talk about what we're doing. And honestly, I think, a big part of it is we stand for something different. There's a bunch of places you can go where you can buy the exact same thing as somewhere else. And maybe it's $0.02 cheaper and will arrive an hour faster. And that's not always what people are solving for. And so I think the fact that we own a space in e-commerce that I think is both different and important is meaningful. And, I think, that that means we have a real opportunity to grow share and continue to grow share over time. We're not following everyone else's playbook. And people are realizing more and more that Etsy is a different way to shop and I think a better way to shop very often. So that I think is the most important thing. We are firing on all cylinders as best we can. So I think our performance marketing team is doing great job. I think our brand marketing team is doing a great job. I think our product team has really been doing a lot of great work to ship great product improvements that make the customer experience better. One of the things -- one of the questions I get often is, sort of, in what inning are you or how much good stuff is left at Etsy. One of the things that I mentioned in my prepared remarks is that hit rate went up. That's a fancy way of saying that a higher percentage of things we shipped in the fourth quarter had a really positive impact on the customer experience than in prior quarters. That would not suggest that we are running out of runway rather that we're getting better and better at unpacking new opportunities as we go. So I think the team is executing really well against the business that's differentiated. That's strong. When -- there was another part of your question around category mix.
Deb Wasser: Yes.
Josh Silverman: Largely the same in the fourth quarter. Not -- I don't think a lot to report there. In terms of home furnishings, let's talk about that one for a minute. Yes. Etsy is growing much faster than most players in home furnishings. And yet if you look at our total home furnishing sales versus the market for home furnishings, we are still a tiny part of the home furnishings market. And so I think there's an enormous amount of opportunity for Etsy to grow in home furnishings as with other categories. Your question about weddings. Weddings grew about -- is growing about 30% year-over-year, which I think is a testament to the perseverance and creativity of the human spirit. In this moment in time, if you're finding a way to get married and get your community together virtually or whatnot that's great. And so the fact that we're actually seeing weddings back to growing is a testament to our customers. But I hope that when people can get back together in person again we might see weddings and events grow even faster and that might be a tailwind for the business. 
Rachel Glaser: I was just going to add an anecdote that, if people were watching the inauguration Bernie Sanders was featured wearing some mittens. And those mittens forgetting the exact amount were a blowout sale for that day or the day surrounding that on Etsy site. So people are -- and we saw the same, sort of, thing with the unfortunate passing of Ruth Bader Ginsburg where all of a sudden we were selling out of Ruth Bader Ginsburg merchandise. People are beginning to know that you can come to Etsy for anything and everything not just the cushion on the couch, but the couch itself and you're seeing that in the category growth that we -- the numbers that we put out in our prepared remarks. 
Deb Wasser: $1.9 million. 
Josh Silverman: $1.9 million for mittens and Bernie Sanders-related merchandise in the days following the inauguration. 
Deb Wasser: Yes. Okay. Next one, I think I'll give these to you Rachel, from Laura Champine at Loop.
Laura Champine: I'm hoping to get your target or expectations for two metrics, success-based GMS 9% in Q4 and I assume we're talking about off-site ads there; and GMS from paid channels 20% in -- 21% in Q4, excuse me.
Rachel Glaser: So, you correctly cited those metrics, but the question was, what is our -- what are the aspirational targets for that. So, of course, we've only given you guidance for Q1 and we didn't guide on either of those metrics in particular. One thing I'll point out is that, we're growing the entire pie, so not just our paid marketing. We still have a lot of heart for investment in our organic traffic. So we invest in SEO. We invest in brand marketing. We're really investing in top-of-mind awareness. So if I give you an aspiration for percentage that is chargeable or a percentage that is paid, you would be forgetting the denominator, because we're growing. It's not a zero-sum game. We're growing both of those metrics considerably. We are opening up new channels for our Offsite Ads. We just announced, I think, yesterday that we have opened up some of our affiliate channels. So our sellers will now be able to have their products listed on many, many more sites than just the big ones Google and Facebook. And so, that's exciting for them and we want to help them put their marketing dollars to work in the highest ROI positive ways that we can, so that we'll continue to optimize those channels. But we're just working the full funnel at all times.
Deb Wasser: Okay, great. The next one I'm going to take is from Dillon Heslin at ROTH Capital.
Dillon Heslin: Can you talk about the impact initiatives like -- the impact that initiatives are having, such as broader marketing efforts, Offsite Ads, retargeting and how that is having -- driving the growth in habitual buyers and repeat buyers? And I think this is the part of the question that's a little bit nuanced and different from what we've already answered. Are you able to identify certain characteristics of a new buyer that increases the likelihood that they can actually become a repeat buyer, or a habitual buyer? 
Josh Silverman: Great question. I mean, on the first part, I think all parts of the funnel are playing a role in getting people to come back more often and become habitual buyers and we're learning more about how they all work in conjunction. So three years ago and four years ago, we really only were deep in the bottom of the funnel in things like performance marketing, which matters. If you've gone to Google and you searched for a mug and you see Etsy mugs, it reminds you, oh, yes, of course, I can go to Etsy. But we're learning more how TV and then mid-funnel things like video and other ads in social can really all work collectively to get us top of mind and have you start on Etsy and not start somewhere else, which I think is really helpful. The second more nuance part of the question, Deb, can you remind me what that was?
Deb Wasser: It was, in terms of how we're learning about what's likely to make someone become a habitual or a repeat buyer. Are we learning more about that?
Josh Silverman: We are learning more about that. And we're learning more about how do we anticipate. So, for example, you can bid differently on -- if you see a brand-new buyer who you've not seen before, or someone who's maybe bought two times, but not for three years. We're starting to get much more nuanced about, particularly in performance marketing, how to bid differently for different customers that might have a different lifetime value. But we're also learning more about what it is that drives loyalty. And part of what a habitual buyers figured out is she sort of figured out the hacks of Etsy to get the most out of Etsy. For example, she's really good at knowing what keywords to type into a search engine to get the kinds of satisfying results that she wants. She might know for example how to describe her sense of style in the way that a merchandiser would speak. And a lot of people don't have that kind of vocabulary; don't have that kind of language. And so, when we talk about a big focus for 2021 and beyond being -- getting great search results when you don't know the words to describe it, I think, a lot of that is how do we create the kind of experience a habitual buyer has for other kinds of buyers, so they can see the wonder of Etsy in the way that habitual buyers do as well. I think there's a tremendous opportunity for us to make Etsy more accessible to more people, so they become habitual. 
Rachel Glaser: Right. And I would just only add, so search is certainly a super important part of getting the repeat frequency and the confidence and the trust in Etsy that you're going to be able to easily find wonderful things. The other one has been what we've been talking about with our post-purchase experience that you have trust that you're going to get your item in time for the purpose of buying the item and you'll get it -- you'll be able to -- you'll know what to do if you need to return it. And you're going to get it at a cost that is not egregious. And all of those things we've been working on with considerable effort. And we -- Josh talked about them as a big focus area for 2021, but the investments and the progress we've made even in 2020 had a real impact on sort of the trust factor that we have with our buyers coming back to Etsy again and again.
Deb Wasser: Okay. Great. Next one is from Maria Ripps at Canaccord.
Maria Ripps: You haven't done that many acquisitions in the past and the Reverb acquisition was fairly successful for you. Did it change your view on selectively leveraging M&A for future growth? And are there any assets or capabilities that you would like to add or would be nice to add to the Etsy platform? Josh, you'll take that one? 
Josh Silverman : I mean, I do feel good about our stewards of shareholder capital. I do feel good about the M&A that we've done in the past. If I look at Blackbird, which was a capabilities acquisition that made our machine learning -- search machine learning a lot better; if I look at the DaWanda relationship and deal that we did in Germany that made Germany stronger; and certainly Reverb, which is off to a great start and we're really pleased with how that team executed in 2020 and how that business is evolving. I think our track record is good on M&A. I also think we've been patient and picky. Our core business we think is at the early stages of having -- unpacking its growth potential and we want to make sure that we keep our eye on the prize. But I do think that as -- if we come across an acquisition that we think builds capability brings us into a new market or expands us into other categories, we think it's a great business and we think we can buy it at a fair price and then we can add value I think we'd be open minded.
Deb Wasser: Okay. Next one is from Naved Khan at Truist.
Naved Khan: If we have to think about the drivers behind the growth and repeat usage, how much of that is due to marketing effectiveness of your marketing programs versus the numerous product improvements that you've been making? So product versus marketing.
Josh Silverman: Well, the good news is that they really work together. I get where you're coming from. And I would say they have both driven substantial value. I don't know if we've put enough tea leaves out there yet for you guys to like quantify it. But they have both been very meaningful drivers. And when we improve the product the most common thing that happens is conversion rate goes up. You can also drive AOV up. You can drive frequency up. There's a lot of ways that making the product better is visible to us and the metrics. One of the most -- the fastest-moving metric is usually conversion rate. And so when the product team does something to make conversion rate higher suddenly the marketing team can spend more for a visit, right? The lifetime value effectively of every visit has gone up. When the product experience gets better customer loyalty gets better. And that also allows us to market more. So there really is a virtuous circle to the two. But broadly speaking, I would say, they have both been very meaningful. It's not really lopsided where one is way bigger than the other. I will mention again something Rachel said in her prepared remarks, which is if you think about a squad one product squad focusing on a customer problem the traffic that that squad is working on now has suddenly doubled. So if they were able to get an increase in conversion rate of x, the value of that is now twice what it was in 2019. And so the leverage we're getting out of our product organization is extraordinary. And it speaks to the fact that we really want to be hiring, because I think there's a long road map of great initiatives and there's frankly too many things on the cutting room floor right now. So, it is a focus of ours to scale the team to keep up with the opportunity ahead of ours.
Rachel Glaser: And I would just add just one or two more comments on. Just a reminder on the way that we forecast and build our plans for our business is that we start with our baseline. So what would happen if we all just went home? And so there is some number there that our cohorts -- our older cohorts are very strong. They come -- and they're very reliable. They come back year after year after year and that's the baseline. And then from there we build on what is going to come to us incrementally through marketing and what we expect might come to us incrementally through product. So you're asking the exact right question, how much is each of those incremental buckets? And I agree with Josh 100% that they work together. But the things that we're working on also are to bring back new buyers. So we added a significant number of new buyers, which doubled in the year. We are reactivating those older cohorts. So maybe cohorts that don't come even once a year. We've reactivated those. And then we're working on the frequency of all of those groups to how often they come back. So we've been able to move the levers on all of those things through the one, two punch of both product and marketing. Once they come to the site, we want to convert them and the product really does the heavy lifting of converting them and having them repeat that experience again.
Deb Wasser: Okay. I know we're out of time, but I want to squeeze in one more. This one from Kunal Madhukar from Deutsche Bank.
Kunal Madhukar: It's two-part question. First one is related to the U.K. So how did U.K. growth trend during the year versus mobility? So as people were moving around less, how did our growth move up? Or is it inversely correlated like that? Or is there some other thing going on with the U.K. growth? And then the second piece is about marketing spend, are we looking to ramp up spend further in the U.K. and Germany this year?
Josh Silverman: Yes. I would say that the growth rate in the U.K. was definitely impacted by lockdowns. The U.K. had some pretty strong lockdowns early in the spring and then again late in the year, and we definitely saw that on our site pretty strongly and pretty immediately. But the growth rate in the middle of 2020 in the U.K. was pretty good too when they eased lockdown. So the growth rate throughout the year was really good. But it was even stronger during lockdowns. I think that's a fair point. We did invest more in the U.K. and Germany. Frankly across our core European markets we invested more. Part of that was just building better Martech capabilities, as I mentioned getting those feeds to be better allowed us to invest more. We didn't change our discipline around ROI threshold. We just got better capabilities that allowed us to invest more and the timing was good, because it was a very moment when demand was skyrocketing throughout Europe. We are excited about the returns we're seeing in the higher funnel investments we're making in the U.K. and Germany. So you should expect us to continue to be investing in TV, for example, in the U.K. and Germany. And we're experimenting like we did with the U.S. we're experimenting with wow while spending that amount worked what if we spend more. How does that work? And what's that marginal return curve look like? And so you'll see us experiment with that quarter-to-quarter in both the U.K. and Germany I would expect in 2021.
Deb Wasser: Okay, great. With that, I think we're going to call it and we look forward to talking to everybody in the next weeks. Thank you all for your time and your attention and your interest in Etsy. Thank you so much.
Josh Silverman: Thank you.